Stephan Shakespeare: Good morning, everybody, and thank you for being here joining us today on a day that we announced the biggest revenue number for the half year that we've ever announced and the biggest adjusted profit number of GBP 30 million that we've ever had at the half year. Of course, we've been disappointed at the flat growth over the years, but our ambition is totally undimned. We've got everything in place to get back to historical levels, and I'm excited to be here to do that. We've had a resilient performance across the divisions as we've implemented a difficult cost optimization plan. The CPS performance has been in line with expectations, growing, and we are investing further in initiatives that we'll describe in a moment. We've -- we're achieving a GBP 20 million savings plan with 70% of it realized in this year. We've, of course, changed CEOs. I've been appointed on an interim basis to bring the company back to its strategy, a full focus on the SP3 vision that we laid out at the CMD in 2023, which perhaps we drifted away from a bit, and we're going to get back on that with the full ambition, as I say, to be a platform company and to resume growth at historical levels. The key highlights -- those are the key highlights. The revenue remains stable and margin profile is recovering. So we were at higher levels once upon a time at 21%. We went as low as 11% in the second half of last year. And I'm pleased that right now, we're at 16%. And as I say, continuing our growth, I hope, to higher and historical levels of margin. On the operational side, the -- it's all about data products, research and CPS. Those are the 3 areas for us. We have, of course, been improving our data products over the last few months, especially with UX, UI and improvements they're rolling out, also including some AI enhancements with the ability now from Yabble and other bits of AI that we're bringing in to really add new levels of insight and new levels of data to our products. On the research side, we've had good momentum in U.K. custom trackers, especially with good new clients and growth in that area. And I just want to highlight we continue our record of very high accuracy. The -- probably doing more elections with higher accuracy than anybody ever. It really is -- has been a very, very good performance. And in 2025, German elections, we were well ahead of the pack, getting it pretty much spot on, and that's because of the methodology that underlies everything that we do. And then on CPS, that has been an area that we are looking for expanding the company, of course, with behavioral data. We've expanded panels in the Nordics, and we are working and investing in new types of data collection with passive data and so forth, and that is something we're expanding across Europe and of course, hoping to take much further than that in the future. On the current trading and outlook, we are meeting market expectations. We are, of course, maintaining capital allocation discipline. We are investing in technology and panel as before because we are a highly cash-generative business. The key thing is the ambition is back to go back to historical levels of growth. That is what we're all about now. Let's have a look at the finance numbers and the detail from Alex.
Alex McIntosh: Thank you, Sean. Just going into a bit of detail on the numbers. Stable performance amidst organizational changes. I think it's also worth pointing out the macro conditions we are in the countries we're in, fairly uncertain, but we continue to perform well in most of the markets. A key focus for the half has been on data products, getting our renewal rates back up to historic levels, really focusing on new sales. And so we've seen a change in an inflection point in the growth rate where we were declining in half 2 last year, we've got moderate growth this year of 1%. 2% growth in our research business, mostly driven by technology and the academic sector, particularly the U.S. election, but we continue to see some headwinds in certain sectors, particularly government in the U.K. and e-sports and gaming. CPS performing well. On an underlying basis, like-for-like basis, it's grown 5% for the year -- for the half, sorry, and continues to trade in line with expectations. You'll see we've had some margin compression. Most of that is driven by -- we are capitalizing less in this half than the prior year, but we also have because of the cost reduction program, we did have higher staff costs coming into the half, which obviously -- well, I'll pick up in a second. But also, we're seeing a continuation of purchasing data through third-party panels, which is impacting our gross margin. America continues to be our focus. Europe now is our largest segment after the CPS acquisition, but we continue to see good growth in the U.S. and expansion in particularly the -- I already pointed out the technology and academic clients. Our EMEA segment, as we pointed out at the full year, some difficult and challenging trading in Switzerland and the Nordics, which is dragging our growth and hope to see that normalize in the second half. The U.K. has been relatively flat for the most part, driven by the cost optimization program that we put in place at the beginning of the half. We're pleased to see we're beginning to build momentum coming out of Q2, particularly with some new client wins from the team. Asia Pac coming off a smaller base, but good growth, 7% for the half, new client wins and focusing on tracking studies helping us with that growth rate. These charts are -- this is a breakdown of our sectors. This excludes CPS because they're so dominant within FMCG and retail. For the most part, we're seeing growth in sectors where we have seen historically good growth, technology, banking and particularly the academic sectors. I just want to repeat again, we have seen some structural challenges with the e-sports and gaming, which historically have been big sectors for us, dragging back some of our overall growth. At the full year, we -- well, in August 2023 -- sorry, 2024, we announced a cost optimization plan. That is -- was covering rightsizing teams, focusing on panel spend, reducing our third-party suppliers and costs and scaling back on products and real estate. We have -- the cost optimization plan has gone to plan. We will be realizing 70% of the stated 20% -- sorry, GBP 20 million goal in FY '25 and continue to control costs as we go into the second half of this year. That said, we continue to focus on investing in the group, particularly in areas of technology and panel. As Stephan pointed out, we've got some new areas in AI and machine learning that we're rolling out in the second half. And a key thing that we're also focusing on is expanding the CPS panels. That's -- we've expanded into Scandinavian companies and Switzerland in the period, but also looking to expand the CPS data collection. We -- strong cash generated from operating operations. You'll see our cash conversion ratio has come down. That's completely driven by CPS, which has a fairly lumpy cash profile. I just want to make the point, we're still operating under transfer service agreements with GfK, the parent company. Once we have full control of the support functions, we hope to see that normalize. The cash conversion in CPS does normalize in -- at the end of our Q3. And so we expect to see that number at the full year looking more like historical levels. I want to make this point again, we spent in terms of where we have spent money on capital expenditure, we have invested in panels and particularly in -- sorry, in the European and American markets. But I do want to make that point we've got significantly less capitalization of our technology development spend in this half. That's internally generated. So that's spend that has gone from the balance sheet to the income statement. And just to note on the debt. As part of the CPS acquisition, we took a EUR 240 million loan. We made the first principal payment of EUR 36 million in the period and continue to be comfortable with our covenants with a leverage ratio of 2x and an interest cover ratio of 5.6x.
Stephan Shakespeare: Thanks. This next slide, you probably won't remember, but it was the key slide from Capital Markets Day in 2023, and it's where we set out what is the engine of our connected data strategy and our platform strategy, I can say, too, where everything is a virtuous circle. We have a strong public brand that allows us to get a great panel, which stays with us over a long period of time and builds up layers and layers of data. That creates a platform of connected data, which new clients can use in all sorts of ways. It produces fantastic connected data products, and it also is the basis for add-on research by custom teams and adding richness to what other people can't do, what we do there and what we offer there. And that is the platform and the driver of a high-growth company. And that is something that we didn't kind of move away from in the last year or 2, where we really lost the focus of driving the platform. And everything is about getting back to that historic growth pattern based on this engine and doing that with absolute clarity. You will see this other slide back in the day. That is the platform architecture. It really is an engine on the left-hand side, the panel, the cube, which is the connected data lake and then crunch and other analytics coming along to enhance that. And that is the engine of the system. Then you have the interfaces, which -- and technical systems, which allow for the utilization of that engine. And that is, of course, includes our centers of excellence, which is our efficient data processing and then analytics centers in various parts of the world and then our expert research teams that get the most value out of all of this data. This is an architecture. This is a system that can be used -- should be used for all research by all people interested in high-quality marketing data. And that is the world we live in now. That is the world of AI, where AI is not going to replace panels. Some people once thought some magic will happen. You don't need human beings anymore. You absolutely have to have human beings as the basis for everything. And this is the best way to get that value suitable and right with AI. So that systematic -- that platform search puts us in a great position to establish YouGov as the universal platform for trusted data sharing. This is -- YouGov is where people can come and not only answer surveys, but share their data, their passive data, if you like, whether that's shopping data or banking data or viewing data, this is the platform for it. It's highly efficient. It's trusted by the public because they see the data, they see it being used in the world. And these highly engaged panels are fantastically efficient at creating and generating high-quality data. That thing that they demonstrate, that they generate are our cube products. So BrandIndex and profiles and of course, everything that you build on top of that. BrandIndex and profiles are automated delivery systems, very efficient and as I say, ideally suited for supporting AI solutions in the revolution that we're involved in at the moment. Also, the third area, advanced client services. It helps customers as much as it helps products because the UI and UX enhancements will allow people to use that data to build other kinds of research, other kinds of projects on top of that. And of course, all of it backed by operational excellence. We have to be efficient. We have to have workflows that support client workflows and that increased efficiency is something that we are going to be continuing to improve by bringing AI into those systems into bringing automation along to make that whole thing as much as possible, a tech-driven platform, which means that the near-term priorities are, as you would expect, you've heard this so many times from me, public data and panel are the absolute key. That is the engine. That's our unique position in the market. We are the only consumer-facing market research company, and that changes the way we do things and the power we have to innovate. It allows us to create Q-powered products that nobody else can do. The technology infrastructure is very much there for the use of AI as well with APIs that give you correct connection to that data lake with exploring not only the traditional sort of survey research stuff, but also the passive behavior -- so the passive behavioral data that we're adding along. The third area, advanced client services, all of this leveraging AI to create not only these products, but also terrific trackers and other forms of customer search for our big global clients and all of that enabled by the operational excellence of CenX. So to summarize, we've had a resilient performance in difficult times, and we're seeing some good progress now with improving our products with UX and UI and artificial intelligence and machine learning coming in to be more -- to make that more sophisticated. We are on track to achieve cost savings of GBP 20 million, of which the majority, 70%, will be realized in FY 2024. And the near-term strategic priorities are to accelerate the execution of the SP3 vision. If there is any added value that we've had from the difficulties that we faced because we are going back to our strategy that we presented in SP3 in Capital Markets '23. We come at it now having lost a year or so perhaps in some of our development, but with a better understanding of how we do this properly and how we utilize AI to bring the full strength and the full advantages of the system we've built. So we are very ambitious exactly as we were before. Questions? Hannah, you have some questions.
Hannah Jethwani: [Operator Instructions] We have some that have come in presubmitted. First question comes from Jessica at Peel Hunt. It's a 3-part question, so I'll break it up. First question, what else can we expect in terms of data products improvements for the next 12 months?
Stephan Shakespeare: Well, there's 2 areas that we mentioned. The first is -- has already started to enter a couple of the dashboards, which is the use of AI to enhance the analytics. In other words, allowing you to communicate with the data in different ways and get summarization and get pointers as well for what's important in the data. But the thing that really excites me the most is we have huge opportunities of using the skills of Yabble, which is the AI company that we acquired a year or so ago, a little more than a year ago to get the full value of our relationship with our panel because our panel loves to talk to us, and they make lots of comments, and we get 10,000 comments a day without even trying. And we can turn those comments into something much more meaningful and much more structured than is traditional in qual research, which means we can bring a whole new level of insight into the quant side with the qual side. That is something only possible in the world of AI today, and that is something that you will be seeing launched actually within this year, within this financial year. So I think that's the most exciting thing that's on the horizon from my point of view.
Hannah Jethwani: Second question from Jess. You are expanding for CPS in the Nordics. What other regions are you looking to [ invest ] into CPS and any plans for the U.S. yet?
Stephan Shakespeare: Well, I'm just going to go straight to that second part. I mean the exciting bit is, of course, that we are looking to expand beyond the European business. CPS brings huge expertise with it. We have also great experience with behavioral data from other things that we're doing. And we want to bring those 2 things together to create a new opportunity, a different offer that we can take to America. That is the real value of CPS and the skills and experience and the relationship with clients they bring for us that we can make that move. But that will be, I would think, that -- not certainly on this time, certainly not this financial year, but I won't predict exactly when we can do that.
Hannah Jethwani: And final question, any thoughts on panel costs going forward and the higher use of AI personas by the industry?
Stephan Shakespeare: Yes. I think the purpose of AI personas is to get more out of the data you've produced. I think they are completely useless for creating new data, and we must really understand what it is that YouGov does. Our products provide a detailed map of the way people are behaving and how they are changing. And that map has to be up to the minute, and it has to be reliable. It has to be not so much clever as absolutely solid and something you can point to that it predicts correctly. Those are not things that you would expect to get from artificial personas. So it is the communication and understanding of data that is improved, but not the collection of real data. That still depends and I believe will always depend on actually talking to humans. That's what our clients come to us for, the connection we have with humans. The other methodologies will be commoditized. The relationship with humans is not able to be commoditized, and we refer to that as a utility. The difference between them, of course, is commoditized. It means the value of it is so -- there is so much competition for it drives the price down. A utility, however, is something that is of high value and can be very much a high premium product but as a utility available to everyone. And our ambition, therefore, is to create the real human data that everybody can plug into to enhance all of their research needs.
Hannah Jethwani: Thanks. Next question is probably for Alex. Comes from Ciaran Donnelly at Berenberg. Again, 2-part question. I'll do the first one. The U.S. growth has continued to come through strongly. Is that a function of the underlying market growing versus other geographies? Or are you taking share?
Alex McIntosh: Thank you, Ciaran. We continue to see clients where we have significant relationships, clients who understand what we do, they continue to expand what we're doing. So our relationships with the big platforms in some parts, some of the big media agencies have continued to expand. That is in part gaining share. As we have said in the past, it's a key focus for us because there's a few market components that are particularly attractive. One, the scale of the market is very significant. But the tracking studies that we're able to win in the U.S. are helping drive more multinational, more multi-country work, which allows us to continue utilizing the scale of the panel and in particular, the ability to win projects where we generate strong margins on that.
Hannah Jethwani: Second question. In the previous fiscal year, EMEA was highlighted as an area where you had underperformed versus the market. Do you feel you have made the changes sufficient to see performance in that geography improve going forward?
Alex McIntosh: Yes, we do. We've made some changes to the DAC leadership in at the beginning of the year, we have a new CEO structure in place. We're starting to see the sales momentum building there and in particular, seeing some good collaboration, particularly in Germany between the CPS and the YouGov teams. So confident in the management changes that we made in the period.
Hannah Jethwani: Thanks. Next question from Paul Richards. Please can you provide more color on the performance of CPS in the period and how it is benefiting from being part of YouGov and potential for this to develop going forward?
Alex McIntosh: I'll take one. Thank you, Paul. Pleased that top line growth of 5%. I want to make the point, it's overall been a very uncertain macro environment that we're trading in. 5% growth in retail and FMCG really speaks to the strength of the data products and the data that CPS has. I want to remind everyone, as I mentioned, we're still supported by GfK. So while we're running the commercial activities of CPS, the support functions are still being provided by GfK under transfer service agreement. So we're just in the process of coming off those TSAs. A huge amount of the work has been really just getting ready for that process. So we have limited integration that has happened in the period because the focus really has been making sure that we don't disrupt the overall business and continue to support the growth. Where we see sort of good opportunities is helping the CPS teams expand, and that's part of the decline in margin that we've had from the last reported period, moving into new countries in time, we'll be utilizing YouGov panels to help them with panel recruitment, but we're also looking at how do we expand purchasing data collection into other countries. But overall, we're extremely pleased with the CPS team, and thank you to everyone there for their performance in the half.
Hannah Jethwani: Next one from Sid, [ Jupiter ]. Can you clarify how we should expect cash conversion going forward? If you're capitalizing less, should it not mean a higher cash conversion rate going forward?
Alex McIntosh: The biggest driver for the change really has been the CPS invoicing profile. The capitalization point, we are -- capitalization of internally developed technology, that's developers that we have. So whether we're capitalizing it or taking it to the income statement, the cash remains the same. There's just lumpiness in the CPS business in the way that they manage their invoicing profile. And as I say, when we take over all the support functions for -- from GfK -- a lot of three dot acronyms, we'd like to see that normalize back up to 80-plus percent. And in particular, that should grow -- that should increase the more that we focus on data products, particularly on the YouGov side. The reason why that's important is we invoice upfront for annual subscriptions. And so we have a very good cash generation profile. All the work now is, as Stephan said, getting us back up to that growth profile and in particular, sort of data products continuing to drive top line growth will really help us with that cash conversion.
Hannah Jethwani: And we've had a couple of questions on the same thing. It is on net debt. Can you give an idea of your year-end net debt and how we should expect that to progress?
Alex McIntosh: Yes. At the year-end, we should be around 1.7x, maybe 1.6x. We will continue to delever. When we took a loan, we said we would try to delever by 0.5 turn. Clearly, the group is not trading where we're expecting when we took out the loan. We're not flagging that as a potential issue, but it does mean our net debt ratio is higher because our profitability is lower than we anticipated. But we continue focusing on paying down the principles and delevering as quickly as we can.
Hannah Jethwani: Thanks. Next question from Steve Liechti at Deutsche Numis. It's a multiple-part question. I'll go with the -- first on data products. Can you give us more detail on category review, UX/UI tools, are the AI tools too late [ versus plans ]. And what is going to get back to the track, is it the second half of this year or going into next year?
Stephan Shakespeare: Yes. Well, there's no 2 ways about it. Definitely, AI tools are late versus plans. And there's no point in playing a blame game here, but we have slipped. And we're back on track now. I mean the UX and UI tools for category review and so on have just come in. So yes, that all slipped as well. And we have some really interesting things coming in the second half that will be within this financial year. But we're behind. Having said that, the changes that are coming and the additions that are coming, I think, are very exciting and different from things that you see coming from other companies. So I mean, some things will be the same, but others are new and different. So that will lead to better growth, I'm absolutely sure. And that will be, of course, not evident in this year, in the second half, but it will be, I believe, in the year after FY '26.
Hannah Jethwani: And the second part of question on data products. Can you provide more details on the dedicated sales team plans, has this been the plan for the last few years?
Stephan Shakespeare: It absolutely was the plan for the last 2 years, and it was abandoned. That's the fact. And we are definitely going to return, and we are working on it now of building a separate data products team. It's absolutely essential. You cannot sell data products and custom in one team. It is inefficient. It's a different sale. It's a different approach. It's driven in different -- by different factors, and that was a significant -- there was a significant gap in the last period, which we are going to be totally addressing -- we are addressing now and will be evident as we enter the new year, the new financial year. So please be sure that we will have dedicated teams selling data products.
Hannah Jethwani: Sticking with Steve, a question on CPS, can you provide more detail on the investment and margin effect near term in FY '25 and '26?
Alex McIntosh: I'll take that one. Thanks, Steve. Two things we're investing in. One is panel and technologies in order to collect purchasing data in a slightly different way to augment the traditional scanning approach that the CPS team has. So you'll see there's a bit of an expansion into the Scandinavian markets. That's a set of countries that they used to be in and pulled out, we've been able to support them going back into the Scandinavian market. We've also signed a partnership with Circana, where we're putting data into the Circana platform, which is -- it's a dedicated consumer panel analytics platform, which helps CPS clients who also buy consumer panel data in other markets.
Hannah Jethwani: And also, can you explain the first half tech investment in P&L versus amortization? What was the pound amount charge in H1?
Alex McIntosh: GBP 2.3 million was the charge in H1, which placed GBP 6 million last year.
Hannah Jethwani: Thanks. Going to Jonathan Barrett, Panmure Liberum. Has client confidence deteriorated since the February trading update? Do you expect [indiscernible] or research to see strong growth in H2 versus H1? And what proportion of renewals are in H2 are you using for renewal rates?
Alex McIntosh: I'll start there. No, we haven't seen any deterioration in client confidence in part -- sorry, sort of counter to that, really focusing the sales teams, and I want to make that point in the U.K. It was fairly disruptive for the teams to go through the redundancy program. We continue to see good client response, good market response to what we're doing. So not seeing a deterioration. I'm sure lots of people have questions around macro. We're not seeing any signaling from clients that they're reducing spend either. But clearly, we monitor that as every day it seems to throw more uncertainty.
Stephan Shakespeare: I would just add that about the market as well. I mean I don't think that our concern is weakness in our market. Our concern is failure to make the most of our products in this period because the nerves about what's happening in the world and so forth actually put more emphasis on knowing more, having better knowledge and is an opportunity for us. The problem for us is that we haven't been making the most of our assets, and that is the chief thing that we need to be concerned about and to address.
Hannah Jethwani: Thanks. A couple of questions from John, Newcom. First one, any thoughts about listing in the U.S.
Stephan Shakespeare: So we don't think about these things at all right now. I've come in to fix the problems and to get us back on track with our SP3 plans, as I've described, now enhanced in the era of AI. That is everything that I focus on. The rest is not for us to worry about here. We are worried about getting the most out of the asset that we've built.
Hannah Jethwani: Thanks. And also from John, with the share price being extremely low, do you have support institutional investors or [indiscernible] takeover?
Stephan Shakespeare: Well, obviously, it's pretty much the same answer before that we can't do much about the market out there. We do definitely have supportive institutional investors that believe in where we're going. And at the same time, there's all sorts of things happening in our market that we have no control over. And our job is to focus on what we can do and where we have agency, which is to make this a great and productive company.
Hannah Jethwani: What proportion of renewals are due in the second half? And what are you assuming for renewal rates?
Alex McIntosh: The vast majority of our renewals are in the first half. We have quite a lot of our clients align their subscription period to their budget period, which is typically 1st of January. So we're through the bulk of the renewals. Last year, when we announced the half 1 results, we had some challenging nonrenewals with a couple of larger clients. We're pleased to see the renewal rates are back up to the historical levels of plus 80%. We certainly expect that to not only sustain that level, but coming back to Stephan's point about coming back with a dedicated and working on a team for data products, which is purely focused on data products, a key opportunity for us is to increase that number throughout the second half and certainly set ourselves up for a really good renewal next year. So yes, we expect that to continue to improve.
Hannah Jethwani: And similarly, do you expect data products or research to see stronger growth in H2 versus H1?
Alex McIntosh: Yes. So revenue for data products in H2 is always challenging to get strong revenue growth because you only have [ 1/12 ] of the revenue recognition from sales. And so the focus is really driving new logos and increasing our sales to really set ourselves up for a strong growth in FY '26, but we do expect to see growth in the second half. And certainly, with custom, we expect to see that continuing to grow and make the point again, particularly in the U.S., where we continue to see sort of good client response to what we're doing. And in the U.K., where we've definitely seen an uptick in momentum coming into the second half.
Hannah Jethwani: Question for Stephan. Please, can you give some more further detail on your comments that you drifted away from the SP3 strategy?
Stephan Shakespeare: Yes. I mean I think I've stated it already, and I'll underline it. The SP3 strategy was to focus on being a data product-centered platform. And that means it's all about the tech. It's all about the automation of data collection, making it better, making the panel stronger and making everything more available, more usable and above all, having teams that are focused only on data products. That is what was clearly stated in SP3 and is what we did not do in the year after. And that, of course, is my commitment now to do exactly that. I should say and I'm repeating myself, but yes, there was lost time as a consequence. But there's also an upside to that, which is we now know better what to do and what not to do. And we now have an environment with artificial intelligence, with machine learning, with automation that actually is even better for a platform company. And so yes, I'm really excited by the opportunities we have right now.
Hannah Jethwani: Another question. Can you give some views on the impact of any potential U.S. or global recession on the business?
Stephan Shakespeare: I think we've stated that -- our guess is going to be no different from your guess about what will happen in the economy. And a strong economy is better than a weak economy. Obviously, no doubt about that. However, our job is to give the best possible solutions in that changing environment, and that's what we believe our data does. And so we think we have advantages in any market. And if we stick with exactly what we said we will do, we have a lot of [ growth ] ahead no matter what happens.
Hannah Jethwani: A question from Andrew Ripper at [indiscernible]. What did you -- why did you increase research admin costs by 10% year-over-year? And what are the extra heads doing? To what degree has this already been reversed by the cost optimization plan?
Alex McIntosh: Thank you, Andrew. Coming out of half 1 FY '24 because just remind people what we talked about when we came out with profit warning, we added too many heads coming into the second half of last year. And so the exit velocity coming into this year really is -- some of the increase is the decisions that were made then. We expect that to -- we expect the margins to come back in the second half and certainly normalize by FY '26. We did make the point -- we won't get all of the benefit of the cost optimization plan in the full year. And in part, that's because we have to go through redundancy programs. And so yes, we expect the margins in research to increase in the second half.
Hannah Jethwani: A question from Dan Cowan at HSBC. Can you comment on pricing, please?
Stephan Shakespeare: Yes. Pricing is a big topic for us precisely because we work as a platform business, we have lots of different ways of producing data for different purposes from the same source. And so we want to be able to allow people to buy things in the form and the amount that they want rather than what we've tended to have, which is one price and one way suits all. So we are building APIs or an API that will allow people to take what they need and look at that -- use that in different ways, which means there's a big pricing job ahead for us, but more than that, I can't say. I should add clearly, we're looking to broaden the scope of what people can buy as a consequence of that. So we're not expecting downward pressure on pricing. We're expecting more appropriate pricing models to actually increase what we can offer to clients.
Hannah Jethwani: Thanks. Question from Steve. Is the budgeting process conducted differently this year to avoid having a big surprise and missing targets?
Alex McIntosh: Yes, Steve, it is. We've completely revamped that. We have a new forecasting team that is doing much more dynamic forecasting. We were doing that on a quarterly basis, whereas now we're doing it on a weekly and a monthly basis, particularly for sales and revenue. And yes, I just want to come back to that point that Stephan was making, really focusing the sales teams on the areas that we know will drive performance is also having that a big part of last year was just significant sales misses and particularly the sales pipeline not being as strong as we thought it was. We're in a different situation this year.
Hannah Jethwani: Thanks. And the final question in the queue is, given the share price has fallen significantly, are there any plans for further director purchases at what would appear to be a compelling value case.
Stephan Shakespeare: Yes. I mean it's a very painful share price fall. And as you point out, Steve, it hurts us as shareholders, and I remain and my family remains a very large shareholder. So I'm very focused on making the company as great as it possibly can be and winning back the confidence of the market in a significant way. As for director purchases, that involves having the ready cash with which to buy things. I can't speak for what other people can do with that. It's certainly my view that this is a very low share price and a terrific buying opportunity for all of us.
Hannah Jethwani: Thanks. Stephan and Alex. There are no further questions at this time. So I'll hand back to Stephan for final remarks.
Stephan Shakespeare: And that is my -- those are my final remarks. We are highly focused on returning to SP3, as you know, but in a better and more invigorated way because we have learned so much, and we think that the company is at strength. We've missed some opportunities. But when you look under the hood, nothing is broken. It's all there. All the pieces are in place for us to return to historic levels of growth. That's my intention.